Gemma Garkut: Okay. Welcome, everyone, and thank you for joining IR's Half Year FY '26 Results Webinar. My name is Gemma Garkut, Head of Communications here at IR, and I'll be hosting today's session. This morning, IR released its half year results and associated presentation for FY '26, which have been lodged with the ASX. These are available on the ASX platform and our Investor Center on our website and should be read in conjunction with this webinar.  Joining me on the call today are Ian Lowe, CEO and Managing Director; and Christian Shaw, CFO, who will present today on IR's business performance for the half. We will then open the session for a short Q&A. A few housekeeping items before we begin.  Today's session is being recorded and will be made available on our Investor center following the call. [Operator Instructions] If we do not get to your question during the live session, you are welcome to contact our Investor Relations team via the details provided on our website and in today's ASX announcement.  A reminder that today's discussion may include forward-looking statements. Please refer to disclosures by the ASX, including the materials lodged earlier today. With that, I'll now hand over to Ian to take you through the highlights for the half.
Ian Lowe: Thank you, Gemma. Welcome to the webinar, everybody. We're really going to cover 3 core themes in the course of today's presentation. I'll just quickly run through these to begin with at a headline level. So, first of all, our half 1 financial performance. So, the headlines here being revenue was slightly down due to a softer renewals book. Our earnings performance impacted by expected credit losses. This is consistent with disclosures made in November of last calendar year, and we've also seen cash improvement. The second theme around continued product-led growth execution. We've launched a number of new products in the first half. We've seen some early-stage sales and adoption progress. And I'm going to expand a little today on some new product releases that we've confirmed for 2026. And the third theme is around new business growth. And so, this is where I'm going to give some color on some modest improvement we've seen in new client revenues and also improvement in revenues derived from existing clients, which we refer to as expansion revenues.  Just quickly on product-led growth highlights before we get into the financials. So as many of you will be aware, product-led growth is the central growth strategy for the business. And so, we wanted to give a high-level view of our progress against this important, this important part of the overarching strategy. So, in the first half, we launched our first AI-powered product called Iris. This is a natural language interface that allows our clients to undertake deep discovery in the very granular data that we harvest for them. And Iris will evolve over time and become a foundational component in the product-led growth strategy. So, the launch of this first iteration of Iris was really important for us.  In the first half, we also launched Elevate. So, this is the same Prognosis technology that we've offered as an on-prem solution for a long period of time but provided as a service. And so, this is particularly attractive to new clients that haven't invested in the Infrastructure to maintain and run Prognosis where they can essentially outsource that process to us and consume Prognosis-as-a-service, and that is the Elevate product. We also launched this in the first half. Some time ago, we launched High Value Payments. Now we've fully implemented this product for a top 10 U.S. bank, which is a really significant milestone for us. And we're engaging with other major global banks on the sale of that same product. I'll give some more detail on that through the presentation. Our innovation initiative called IR Labs. We're looking forward to launching a new AI-powered stand-alone product in calendar year '26. I'll give some more detail on that in this presentation. And indeed, as we approach that launch, we would expect to share more information in relation to it.  As mentioned earlier, we've also seen some modest early-stage improvement in the growth metrics that we've laid out to monitor our progress against product-led growth. This was underwritten by a cohort of new clients that we secured in the half, in particular, across verticals, including Government, Health and Defence. So, I'll expand on this as we go, but I'll just hand over to Christian in relation to the financial update.
Christian Shaw: Thanks, Ian. My name is Christian Shaw. I've been the CFO with IR for 2 years now. It's my pleasure to provide a financial update on first half FY '26. Firstly, by way of introduction, I'd like to confirm that thanks to a strong sales close in December 2025, the company's results were at the upper end of the guidance range that was provided to the market via the ASX on the 14th of November 2025.  And there's a slide included in the appendix of today's presentation to this effect. The focus of my presentation today relates to first half FY '26 results versus the Prior Comparable Period or PCP.  I'll now take you through the key financial metrics for the first half of FY '26. However, shareholders are encouraged to read the Appendix 4D and the interim financial report lodged this morning on the ASX in conjunction with this results presentation.  In summary, core operating performance for the period was broadly consistent with PCP. However, the incurrence of material expected credit losses ultimately resulted in an operating loss and a net loss after tax. A relative earnings shortfall is more obvious given the existence of large nonoperating gains in the PCP. Statutory revenue for the first half of FY '26 was $28.3 million, which was slightly down 2% to PCP.  Renewals performance and contribution to total revenue was slightly down versus PCP, reflecting a softer book of business in the period. Expansion or cross-sell and upsell revenue outperformed, albeit against a low base. Encouragingly, new client revenue grew with multiple strong wins achieved late in the reporting period and despite shorter-than-usual contract lengths.  Operating expenses, inclusive of expected credit losses exceeded PCP and without which were slightly lower. Product and technology expenses increased in line with strategy, while Sales & Marketing expenses reduced, and G&A held steady. The earnings before interest, tax, depreciation and amortization or EBITDA loss was a loss of $3.1 million and a net after-tax loss of $1.5 million, both of which were down against PCP, which reported profit results of $4.6 million for both measures.  First half FY '26 cash increased to $43.6 million and net assets remained strong at $95.7 million. The company has no debt. I'll commence a deeper dive now for the period with Pro forma revenue, which is an underlying measure that alters statutory revenue by apportioning the License Fee revenue from term-based contracts as the largest component evenly over time based on contract life.  This alternate view of revenue provides the ability to look through cyclical swings in the renewals book and to more readily observe underlying performance across reporting periods. It's particularly relevant to the company because as you can see from the slide, the very strong majority of our business is represented by term-based contracted revenues.  For first half FY '26, Pro forma revenue was down 6% to $34.4 million versus PCP, with term-based contracts revenue down 4% and services revenue down 2% to PCP. The company's product-led growth strategy is targeting a sustainable growth in Pro forma revenue, and this will happen when increased new client and expansion of existing clients' business exceeds client churn.  This next slide shows Pro forma revenue by territory and product. The Americas being our largest market at 70% of Pro forma revenue was down 6% to PCP. Pro forma revenue in the Americas was negatively impacted relative to PCP by the prior sale of the testing business, although much more importantly, by the closing of new client sales late in the period and by the broader business theme where new business sales, whilst growing, are not yet a complete mitigant to churn. APAC was down 7% in a quieter period and Europe, our smallest market, was down 6%. Turning to a product view. Our largest product, Collaborate's Pro forma revenue was down 9% to PCP, with 5% of that impact coming from less services revenue, including less testing revenue after the testing business sale. Collaborate's churn, although relatively stable, continues to impede growth acceleration in Pro forma revenue despite the recent strength seen in sales to new clients and expansion in existing clients. Infrastructure, representing 28% of Pro forma revenue, similarly to Collaborate, decreased by 9% to PCP, driven by churn, whereas Transact, our third product and 22% of Pro forma revenue was up 6% and driven by expansion business. And further information is available in the appendix to this presentation on Pro forma revenue.  Turning now to Statutory revenue. First half Statutory revenue was $28.3 million and slightly down by 2% to PCP. The highlight for the half was an increase in License Fee revenue of 4% that was underpinned by a combination of new client contracts and expansion uplift business to existing clients across all territories and products despite a softer renewals book that was less than that of the prior half year period. Another minor point to note is the anomalous nature of the services revenue, which contained less testing revenue in the reporting half than the PCP due to the sale of the testing business. As a reminder, because of the accounting standards on revenue recognition, the company's Statutory revenue trends with our primary sales measure, Total Contract Value, or TCV, and in turn, the renewal book of business due to the current dependency in our business composition. One of the ambitions of our product-led growth strategy is to build and sell value in IR software over time through consumption, which will drive variable SaaS style revenues that demonstrate reduced fluctuation over the lifetime of client contracts.  The next slide highlights first half FY '26 EBITDA, a common non-IFRS profit measure. For the first half of FY '26, the company's EBITDA was a loss of $3.1 million, which contrasts to the prior comparable period profit of $4.6 million and a brief analysis will follow. Statutory revenue, which has been discussed, was slightly down, driven by modestly reduced renewals and increased new client and expansion sales. Expected credit losses for the half year was $4.8 million, being an increase of $4.8 million. And for clarity, this is recorded in the consolidated statement of comprehensive income in the line item, General & Administrative expenses. The charge was principally associated with a single client and reflected an increase in credit risk, which was signaled by the client, a product reseller and was not related to software performance.  Operating expenses. Excluding expected credit losses for the first half, operating expenses were down 4% versus PCP to $26.5 million, reflecting an ongoing disciplined approach to cost management despite the company pursuing a growth agenda. During the half, product and technology expenses increased 14%. Sales & Marketing expenses decreased 9% and General & Administrative expenses, excluding expected credit losses, were flat. No R&D was capitalized during the reporting period. Shareholders are advised that the company is expecting expenses to increase in the second half of FY '26 as a result of accelerated investment in the company's product-led growth strategy. And further information is available on operating expenses in the appendix to this results presentation. Other gains and losses for the first half were a modest $100,000 loss comprising a grant from the U.S. government of $1 million relating to Employee Retention Tax Credit program and currency exchange losses of $1.1 million. This contrasts sharply to the PCP gain of $3.3 million relating to the sale of a testing business and currency exchange gains.  Moving now to IR's cash, which for the half year increased by $3 million or 8% to 30 June 2025, leading to a closing balance of $43.6 million at the end of the half. Our operating cash flow increased strongly for the reporting period to $5.5 million against a PCP of $0.5 million. Client receipts were $3 million higher to PCP due to timing. And in combination, payments to suppliers and employees and payments for income taxes were down $2 million due to timing and some nonrecurring payments in the prior comparable period. And further information is available in the appendix on the company's operating cash flow and its link to EBITDA. Investing activities contributed a net $1.8 million cash inflow, which was moderately increased to PCP, where increased interest receipts largely offset the prior comparable period proceeds from a sale of the testing business. Net financing outflows of $4 million was a reduction of $600,000 against PCP and included a $3.5 million payment for the FY '25 final dividend and $400,000 in reduced lease payments. Exchange rates had a minor negative impact on closing cash.  Lastly, IR's balance sheet, which remains strong. At 31st of December 2025, net assets were $95.7 million, down 5% to PCP and comprised total assets of $115.3 million, which includes the combination of cash and Trade & other receivables totaling $107.2 million and total liabilities of $19.7 million. There is no debt. Net tangible assets per share closed first half at $0.53, down 7% to PCP. And I'll now hand back to Ian for product-led growth update.
Ian Lowe: Thanks, Christian. I'm just going to take a few minutes here to share with everybody some of the progress that we're making on our product-led growth strategy and in particular, the new products that we have earmarked for build and release over the coming months. So I think most people are probably aware that product-led growth is really a central focus of execution. And really, this slide lays out the context around that. So our historical revenue performance has really been reflective of an overreliance on contract renewals and the value of those renewals fluctuates each year. Our underinvestment in building new products has compounded our reliance on the renewals book. And ultimately, it's limited our new business growth. And so a substantial and ongoing investment to build new products is essential for the company to return to sustainable growth, and this is product-led growth. So, with this strategy, our focus is to increase our innovation investment to build the new products that align to our clients' current and future needs and then commercialize those new products. In particular, we're focused on securing new clients and the revenue that they bring and also cross-sell and upsell to our existing clients, which we call expansion revenue. And realizing these benefits over time as we build momentum is really what should lead to the secure product-led, or securing the product-led growth that we're targeting, which in turn establishes sustainable growth over the medium term.  So, with this in mind, we've previously shared three growth metrics which are really a way for us to start to share with you our progress against our product-led growth strategy. And so let me go through each of these very quickly. The first is new client revenue or, if you like, client that is derived from new clients that we've signed. So pleasingly, we've seen modest progress against this metric in the first half versus PCP.  The second flavor is expansion revenue. And so as previously described, this is about cross-sell and upsell driven principally by these same new products, to the client base that we already have today. In percentage terms, we saw a strong uplift in real dollar terms, it was a modest uplift because it's off a low base. But nonetheless, we saw some progress in the second metric expansion revenue. And obviously, as we continue to release new products, and I'll expand on that momentarily, we anticipate that this should strengthen our sales pipeline over time. And then the third growth metric, Subscription fees. This is flat or down 3% against the prior corresponding period. And again, this is a growth metric that really will be largely reflective of our ability to secure clients with products that are linked to a variable pricing model.  So Prognosis Elevate, for example, where clients will pay a portion of their License Fee based on consumption and new products that we plan to release in calendar year '26, and I'll cover this in more detail shortly, which should strengthen both our proposition with Elevate, but also we anticipate or we're targeting an improvement in the Subscription fee revenue. So these three metrics really will continue to give us a very good sense of our progress as we execute against our product-led growth agenda. In terms of new products, in the first half, there are a couple of particularly noteworthy product launches, which I've mentioned previously. Elevate, this is Prognosis-as-a-service. This simply allows clients to consume the existing Prognosis product in a cloud-based context as opposed to on-prem. It doesn't replace on-prem. It's really just an option that clients can take if they choose to consume Prognosis-as-a-service. This is particularly relevant for new clients. And the reason for that is where clients have already invested in the infrastructure to run Prognosis on-prem, they may want to continue to commit to that infrastructure, in which case, we're seeing that Prognosis-as-a-service, Elevate is particularly relevant for new client discussions. And we will release new products under the subscription model that I've mentioned previously. And in turn, we believe that will strengthen the Elevate proposition.  In the first half, we also launched Iris, and this is in its first iteration, a natural language AI capability specifically built to the needs of observability. We've started to roll this out across the client base with our collaborate product. The feedback has been overwhelmingly positive. And we're now in the process of completing the development that would allow us to roll this out to clients on both Transact and Infrastructure. And we believe the development for that will be complete towards the end of the FY '26 period.  Iris really is a key pillar in our medium-term product-led growth strategy. Iris will become increasingly central to the way that we look to monetize value moving forward, and it will become increasingly focused on consumption-based revenues. High Value Payments is a product that we launched back in FY '25, and we sold that to a foundation client in the form of a top 10 U.S. bank.  I'm pleased to say that, that complicated but very important deployment for that first foundational client is complete. And in parallel with that deployment, we've been talking to a number of other global banks and Tier 1 banks in different domestic markets, and we have progress against a number of those.  Moving forward, there's a number of new products that we plan for release in calendar year '26. So firstly, we've talked previously about our innovation division, IR Labs. And we're on track to deliver a new stand-alone AI-powered product in calendar year '26. This will be a minimum viable product release. And we're going to share a lot more detail about what this technology does, the value it creates and our plans for commercialization. We'll share a lot more about that as we get closer to the release date.  I've also previously mentioned Iris to be launched for both Transact and Infrastructure clients, and that will happen in calendar year '26. We believe we're on track for a first release towards the end of the financial year '26, the current financial year. And we have plans to extend the Iris capability in a couple of important ways.  The first is to transition from a Natural Language Query Interface to also being Agentic. And really, what this means for clients is that Iris will start to communicate with them proactively, not just reactively with important insights and discovery, and it will always be on. So this gets our clients to the point where they're essentially able to subscribe to an Agentic AI capability that is purpose-built for observability data that will feed them all of the insights they need to know to stay on the front foot and maintain the performance of their critical systems.  And then secondly, later in calendar year '26, we have a data layering capability that we're planning to release. And this will allow our clients to bring data other than the data that is harvested through Prognosis to correlate to the Prognosis data to deliver richer insights again. And so that contextual correlation will allow clients again to reach new insights that previously aren't possible without this data layering. So we're enormously excited about that road map. Just very quickly, and again, we touched on this at the AGM. There are three core themes in our innovation agenda. So when we think about building new products, we really benchmark those ideas against these three core themes. The first is that we are transitioning to being an AI-first platform. That is absolutely essential, but it's also going to create enormous incremental value that shifts our value proposition in a meaningful way for all of our current and future clients.  The second theme is interoperability. Historically, Prognosis has been an isolated part of the technology ecosystem for our clients, and we're setting about changing that. Prognosis will become integrated into client workflows and processes. Clients will be able to leverage the data within Prognosis in new ways. Prognosis will also start to ingest data from other sources, and we talked about how we want to layer data to the benefit of the Iris value proposition. And we also want to start to expose data from within Prognosis to new users, so extending outside of the IT organization within the client into other external and internal stakeholders. The third theme is remediation. And this is really what happens after an issue, a performance issue has been identified, which is what Prognosis does so well today. We want to go on the journey with the client to accelerate their remediation process. And that will extend into predictive capabilities that look to avoid the need for remediation in the first place as well as starting to automate elements of the remediation process by interacting with the underlying technology that is actually creating the performance degradation. So, these three themes are really central to the way we think about new products and on that basis, important that we share that.  So, in summary, some observations. The first half of FY '26, our performance really does reflect this historical underinvestment in new products and a softer renewals book. So, in response to that, our product-led growth strategy will see us invest substantial amounts on an ongoing basis to build and commercialize new products, and that process is well underway, as you've seen from today's update.  We are starting to see new product momentum emerge. So, this is the production line that we've built and refined to deliver these new products. And we're also seeing some very modest early improvement in the growth metrics that will gauge our progress towards sustainable growth. I think it's important to understand that this transition to a product-led sustainable growth future will take a little bit of time. Our softer FY '26 renewals book on the impacting the top line, our investment in product-led growth, building new products in terms of our expenses, those 2 things come together to impact our profit performance over the short to medium term.  Importantly, the business has a strong cash position to fund our product-led growth strategy. And so we continue to focus on the execution of that strategy. Thanks very much. That concludes the presentation, and I'll hand it back over to Gemma.
Gemma Garkut: Thank you, Ian. Thank you, Christian. We'll now open it up to Q&A, and we have a couple of questions. The first question is directed to Christian. The credit loss is large relative to revenue, which is very disappointing. What processes have you put in place to ensure this can't happen again?
Christian Shaw: Thanks, Gemma. Look, this particular client that led to this outcome was an anomalous or an unusual client contract for us. And unsurprisingly, the management and Board of this company have been all over the nature of that. And we've put in place incremental guardrails to ensure that the structure of the nature of the contract and that counterparty won't be repeated in the company's near future or hopefully at all in the future. And that risk is contained and is contained to that particular client. And there is no such risk in quantum or in nature on our books.
Gemma Garkut: Okay. Thank you. Moving on to the next question. Ian, this one will be for you. There is a lot of talk about Generative AI replacing SaaS software businesses. What are your barriers to stop this happening? And what do you have that Gen AI can't replicate?
Ian Lowe: It's a good question. And with the benefit of more time, I'd very happily pull all of this apart. Look, I think the first thing is that AI will present some disruption over time in a couple of areas. At the moment, the value proposition of observability is really threefold. The ability to collect all of the telemetry that speaks to the performance of the technology that we monitor. Our ability to normalize that, centralize that, tidy that data up and present it in a way that drives reporting, analytics, notifications, alerts, things of this nature.  And then the third is the ability to operationalize that data. So this is about workflow automation. It's about remediation. It's about decision-making on business performance, not just the technology in isolation. And so our opportunity is, first of all, to leverage AI, so to participate in the AI dynamic by leveraging AI and in particular, increasingly Agentic capabilities to take our clients on that journey where we are operationalizing the data in new and meaningful ways. And we think about that beyond just the client organization. We also think about that in terms of the clients' stakeholders, internal and external.  So, this is a very conspicuous part of our product strategy and something we think and talk about and are building towards with new products as we speak. I think that AI will be increasingly disruptive in its ability to capture telemetry, although in an on-prem environment, that presents challenges that AI today can't really address elegantly. I think AI's ability to assemble and analyze the data is probably where it will make inroads fastest. But the operationalization of that data and using AI to do that in new and meaningful ways for our clients is really a big opportunity. And it's not a space where we see a lot of capabilities in the market today. And so we're determined to get into that space quickly.
Gemma Garkut: Next question. Are you looking at M&A opportunities? And if you are, what would these look like for you?
Ian Lowe: Well, look, I'm happy to take that question. So, we're not determined to undertake a transaction. We absolutely would look at a rightsized opportunity that accelerates the strategy, the product-led growth strategy. Anything that is tangential to that strategy is probably going to be less interesting. So, we remain interested in opportunities that are rightsized and can accelerate the existing product-led growth strategy.
Gemma Garkut: Two more questions. Can you give a little bit more color to IR Labs and what will be launched at the end of the financial year?
Ian Lowe: Probably not. And the reason for that is that, look, we're operating somewhat in stealth mode here for very good reasons. What we have said, just to reiterate, is that in calendar year '26, we will launch a minimum viable product that will be available in the market, and we'll have supporting Sales & Marketing activity around that. In the lead up to that launch, that first release, we will share a lot more in terms of what that product is, the value it creates and our plans to commercialize that product, both at that point in time and ongoing, we'll share a lot more of that as we get closer to that launch date.
Gemma Garkut: And final question. You've mentioned there is a lot to do next half and into FY '27. What gives you the confidence, Ian, that IR will be able to execute on these goals?
Ian Lowe: Look, that's a good question. There's a couple of things that combine to respond to that question. This business has an extraordinary base of clients to which we have direct access to inform decisions around new products and understand the journey that they are on and make sure that we're aligning our future product sets and new products with those journeys.  So, with that, there is a level of trust around the IR brand and the market generally that I think is quite extraordinary and a great credit to what the company has achieved historically. And that's a big part of how we succeed moving forward. We have extraordinary talent in the business. I'm reminded of this every day. And I think critically, we've got a balance sheet that funds our product-led growth strategy. So these things all combine, I think, to put us in a position where there's a lot of work to do. It's not going to happen quickly, but we do believe that over that medium term, we're in a good position to execute our strategy.
Gemma Garkut: Final question. IR is still generating cash and has a very strong balance sheet with $43.6 million in cash. Notwithstanding the increased expenses for product-led growth, there would still seem to be headroom to investigate a share buyback to improve EPS, especially knowing that profit will be subdued in the short to medium term. Wouldn't this be a good use of capital while the share price is so low?
Ian Lowe: I'm happy to take this one. So, look, it will come as no surprise that we've looked at this, and we've looked at it both closely and repeatedly. I think on balance, certainly, my view is that we don't know exactly what's going to lie ahead as we pursue our product-led growth. And on that basis, we think that at this point in time, at least, preserving our capital to execute a strategy that will deliver the sustainable growth we're all seeking. We think that's the priority. We, of course, reserve the opportunity or the right to continue to review this, and we may make or take a different position if circumstances warrant taking a different position. But right now, we think that, that's in the best interest of shareholders.
Gemma Garkut: Thanks, Ian. That is the final question that has been sent through. So, we will conclude the webinar there. Please do reach out to our Investor Relations team directly if you have any further questions following this webinar. But Ian, before we conclude, I'll just hand over to you for any closing comments.
Ian Lowe: Thanks, Gemma. Look, I really just want to thank everybody for their interest and support. Hopefully, we've explained or laid out for you the journey that the business is on, and we're looking forward to sharing our full-year results in a few months' time.
Gemma Garkut: Okay. Thank you very much. Thanks, everybody.